Operator: Good morning and welcome to the Powell Industries Fiscal 2020 Fourth Quarter Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I'll now like to turn the conference over to Ryan Coleman, Investor Relations. Please go ahead.
Ryan Coleman: Thank you and good morning everyone. Thank you for joining us for Powell Industries conference call today to review fiscal year 2020 fourth quarter and full year results. With me on the call are Brett Cope, Powell's Chairman and CEO and Mike Metcalf, Powell's CFO. There will be a replay of today's call and it will be available via webcast by going to the company's website powellind.com where a telephonic replay will be available until December 16. The information on how to access the replay was provided in yesterday's earnings release. Please note that information reported on this call speaks only as of today, December 9, 2020 and therefore you're advised that any time-sensitive information may no longer be accurate at the time of replay listening or transcript reading. This conference call includes certain statements, including statements related to the company's expectations of its future operating results that may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties and that actual result may differ materially from those projected in these forward-looking statements. These risks and uncertainties include, but are not limited to, competition and competitive pressures; sensitivity to general economic and industry conditions; international, political, and economic risks; availability and price of raw materials; and execution of business strategies. For more information, please refer to the company's filings with the Securities and Exchange Commission. With that, I'll now turn the call over to Brett.
Brett Cope: Thank you, Ryan and good morning everyone. Thank you for joining us today to review Powell's fiscal 2020 fourth quarter and full year results. I will make a few comments and then turn the call over to Mike for more financial commentary before we take your questions. Since our last update, our enhanced safety measures have remained in place and we have continued to prioritize the health of our employees, customers, and suppliers above all else. As an essential business, we remain fully operational. We continue to follow all recommended safe work practices, such as ensuring that our team has access to the personal protective equipment they need on a daily basis, safe distancing at workstation, staggered work schedules, and where and when possible work-from-home options for roles that support manufacturing operation. I continue to be impressed by our team's response during this crisis and their commitment to Powell and our customers. Throughout the fourth quarter, industrial end markets remained clouded and under pressure as a result of the pandemic, which impacted our revenue and new orders for the quarter accordingly. However, across all of Powell, our operations executed well on current projects and we’re able to contain costs effectively. Fourth quarter revenues were $115 million, down 23% when compared to the prior year and lower by roughly 3% sequentially. The decline was driven by the lower revenue from both our oil and gas and petrochemical customers, which were down 50% and 35% respectively compared to fiscal 2019. Those declines were partially offset by sustained activity in our utility and traction market, which each grew over 30% compared to last year. Fourth quarter gross margin as a percentage of revenue was 18.9%, which is a decline of just 30 basis points compared to one year ago and an increase of 80 basis points compared to last quarter. Sequential increase resulted from restructuring activities that we took in May as well as strong productivity in our domestic operation. We continue to restrict travel and other discretionary expenses in this environment, partially due to local, state, and federal stipulation. Going forward, we will continue to evaluate our cost structure to ensure we are aligned with the current environment, while ensuring we remain properly staffed for the eventual return on project -- customer project activity. We reported net income of $3 million in the quarter, down from $6.5 million in the prior year, primarily due to a decline in revenues and gross profit, resulting [ph] from a decrease in new orders and adverse market conditions. We continue to effectively manage our working capital position. Combined [ph] with our focus on our cost structure, we generated $18 million of free cash flow in the quarter. New bookings on a gross basis for the fourth quarter were $75 million. Net orders for the fourth quarter were $57 million as the quarter was offset by $18 million of adjustments to previously booked orders. Within that $18 million, $13 million was related to a previously awarded project in our backlog that was re-scoped to an engineering-only project at the request of our customer and their engineering partner. We ended the quarter with backlog totaling $477 million, which includes the previously announced large industrial order that was booked in the second quarter to support the design, manufacture, integration, and testing of a Powell custom integrated electrical distribution solution. Powell designed, built, and delivered multiple power control rooms in support of the project. This contract will convert to revenue over a three-year period. During the quarter, we continued to experience lower bookings rate consistent with the third quarter as the impact of the pandemic hit our core market. However, we did experience improved quoting activity at the start of the fourth quarter across most of our operations. One of the key value differentiations of Powell's model is our extensive engineering capability. Consistent with prior economic cycles, we are starting to see an increase in engineering-only awards. These awards keep our engineering teams utilized in the near-term, while enabling our clients to continue to progress their projects till such time when full funding is approved. Visibility remains a challenge for many of our customers as they grapple with a significant deterioration in the near-term outlook relative to the beginning of 2020. As we've discussed, we have seen several mid to large projects shift their schedules into 2021 at the earliest while a handful of customers continue to evaluate their timetable. As I briefly mentioned, the bright spot in the quarter was the activity within our utility and traction market. Additionally, short cycle service, parts, and OEM work have continued to show steady improvement. These projects are typically smaller, but they are important work that utilize our assets and our cost structure. Powell has gone through numerous downturns in customer activity that we have successfully navigated in the past, most recently during our fiscal 2015 through 2017. Of course, the drivers this time are different; steps we are taking in response are similar. More than ever, it is critical during times like this that we continue to deliver the premier service our customers have come to expect from Powell during our 73 year history as a leader in electrical distribution solutions. We are also taking the necessary steps to manage our cost structure and preserve the strength of our balance sheet. We ended the fiscal year with $179 million of cash and short-term investments and essentially zero debt. This offers us incredible optionality as we navigate this environment. Looking forward, we believe the economics of low cost abundant natural gas will continue to provide favorable opportunities in the LNG, gas pipeline, and gas to chemical process industries. We also see opportunities in the renewable markets of hydrogen, biofuels, and biodiesel. Several projects are in the planning stages that would drive future demand for both the process plants and the supporting pipeline infrastructure. Additionally, we anticipate that oil to chemical projects will become more economically viable as oil prices support a return for these projects. Lastly, any future tightening of regulations that require a lower level of sulfur will drive higher demand for electrical distribution as refiners are required to upgrade facilities to meet improved emission standards. Like all cycles, our industrial market and customer activity will improve, and we are ensuring that we make progress against the initiatives that will drive Powell's future growth. One of these initiatives is Powell's ongoing commitment to research and development and technological innovation. Our roots of innovating in the face of new market challenges date back to the company's founding. We have both the expertise to organically develop new solutions in house as well as the flexibility to evaluate and take advantage of inorganic opportunities. It has been a core component of Powell's past and will be a critical piece of Powell's future. Example of this encouraging progress and emerging opportunities within our growing electrical automation business. We've long been a provider of solutions to help safely manage to control the distribution of electrical energy. The adoption of event-based maintenance strategies for electrical distribution equipment, combined with the continuing cost challenges, but managing a growing fleet of electrical assets for our customers is driving increasing acceptance of digital technologies to solve tomorrow's challenges. We are helping to reduce unplanned outages and maximize uptime for our customers' facility by combining the Powell's policy existing capabilities in the application of automation with our new and developing line of electrical assets sensors. Our suite of monitoring technology currently includes all the functions of the breaker, the heart of the electrical distribution system. We have recently developed additional sensors to monitor leading indicators of potential issues including heat or thermal effects, signals that indicate the breakdown of electrical insulation, and environmental conditions such as humidity and dust that could affect the safe operation of the electrical distribution system. These solutions will help our customers reduce their costs and help protect their capital investment. This is a new market opportunity that’s still in its development stage, but we are seeing promising traction in this higher margin business. Before I turn the call over to Mike, I'll outline our key focus areas as we move into fiscal 2021. First and foremost is the health and safety of our employees, customers, and suppliers. We are also focused on maintaining our solid execution performance to ensure that we continue to meet the high expectation customers have with Powell. Next is the continuous evaluation of our current cost structure, supply chain, and resource planning to optimize operations across geographies, markets, and customers. It is also critical that we continue to pursue future growth opportunities end markets for Powell. We certainly possess the human capital, balance sheet strength, technological expertise to remain proactive in the current environment. With that, I'll turn the call over to Mike to provide more detail around our financial results before we take your questions.
Michael Metcalf: Thank you, Bret and good morning everyone. Revenues for the fourth fiscal quarter of 2020 decreased 23% to $115 million compared to last year's fourth quarter of $149 million and were down $3 million sequentially as we encountered continued softness across our core industrial and markets. Net orders for the fourth fiscal quarter were $57 million with $75 million of new orders booked in the period offset by $18 million order cancellations and scope adjustments to the backlog. The $18 million consisted of $13 million of a converted or re-scoped project and roughly $5 million of cancellation. These net reported results reflect a 65% decrease versus the prior year in resulted in a book-to-bill ratio of 0.5 times for the quarter. Reported backlog at the end of our fourth quarter was $477 million, $58 million higher versus the same period in the prior year. Compared to the fourth quarter of fiscal 2019, domestic revenues of $81 million decreased by $34 million or 29% versus the same period one year ago, while international revenues were flat versus the prior year. From an end market perspective versus the prior fiscal year, revenues from our industrial sector decreased by 45%, while the utility sector was higher by 31% and traction revenue increased by 32%. The year-over-year volume reduction across the industrial sector was led by a 50% decline in oil and gas volume, while petrochemical revenue was down 35% versus same period a year ago. We reported $22 million of gross profit in the fiscal fourth quarter of 2020, which was lower by $7 million or 24% versus the prior year at 23% less value. Gross profit as a percentage of revenues decreased by 30 basis points to 18.9% of revenues in the fourth fiscal quarter compared to one year ago. This was driven in large part by unfavorable year-over-year project mix in our international location partially offset by favorable productivity across most of our domestic locations. Selling, general, and administrative expenses decreased by $3.4 million or 17% versus the prior year attributable to restructuring benefits and overall cost management. SG&A expenses were $16.3 million in the fiscal fourth quarter or 14.2% of revenue compared to 13.3% of revenues a year ago on the lower revenue comparison. On a net reported basis, fiscal fourth quarter net income was $3 million or $0.25 per diluted share. We generated $18 million of free cash flow in the fiscal fourth quarter. This was driven by our strong working capital performance in the period as we see the benefits of projects closeout as well as favorable milestone billings and collections. CapEx spending during the quarter was $852,000. Now, recapping our total year fiscal 2020. Revenues of $519 million increased $1 million compared to the prior year. Orders were $577 million, 15% lower versus fiscal 2019. Gross profit as a percentage of revenues increased by 140 basis points to 18.2% of revenue and favorable volume leverage and productivity across most of our North American operation. Selling, general, and administrative expenses were lower by $2.3 million versus the prior year. This was partially offset by $1.4 million of restructuring costs in fiscal 2020 in addition to a non-repeatable insurance settlement benefiting fiscal 2019 by $950,000. Overall, net SG&A expenses as a percentage of revenues were flat year-over-year at 13.4%. We reported net income of $16.7 million or $1.42 per diluted share compared to $9.9 million or $0.85 per diluted share in fiscal 2019. Total fiscal year 2020 free cash flow totaled $67 million versus $65 million in the prior year. At the end of fiscal 2020, we had cash and short-term investment of $179 million, $54 million higher than our fiscal 2019 yearend position. Long-term debt including current maturities was $800,000. Looking forward to fiscal 2021, we continue to be adversely affected by the uncertainty across our industrial end markets and anticipate that these cyclical conditions may persist throughout fiscal 2020. That said, as we navigate these near-term economic variables, we are well-positioned to manage through the industrial end market dynamics as we continue to focus on executing the backlog, while also maintaining our strong liquidity. We are also seeing stronger activity in our utility and traction markets, which were higher by 31% and 32%, respectively in the fourth quarter. While project orders in these markets are smaller in scope, they're important projects that helped to keep our asset base utilized and leveraged until our industrial end markets recover. As we've demonstrated in the past, we're committed to maximizing margins across the portfolio and we'll continue these efforts into fiscal 2021 and beyond. Additionally, our balance sheet is strong, which provides the business with the element of optionality as we assess opportunities to diversify and grow into the future. As a reminder, we typically encounter a seasonality impact at the start of our fiscal year and as such, we do anticipate that the first quarter will be softer sequentially from an earnings perspective, due to fewer days worked resulting from holidays and paid time off compared to the prior quarter. At this point, we'll be happy to answer your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question today comes from John Franzreb with Sidoti & Co. Please go ahead.
John Franzreb: Good morning Brett and Mike. How you doing?
Michael Metcalf: Good morning John.
Brett Cope: Hey John. Good. Thanks.
John Franzreb: I actually want to start with the – consider at least the rare occurrence of cancelled orders, could you give us a little bit of background on why that happened and what marketplace it was in?
Brett Cope: The market John on that one is a gas to chemical project, and it's a repeat customer, longtime customer of Powell. It is a little unique in the re-scoping of it. Of the $13 [ph] million, I assume that’s the core question because there were just some straight our cancellations on that Mike mentioned in the detail. But yes, gas to chemical and from what I can see balance sheet, it is called a charter [ph] balance sheet and deferred spending to a later time, so they called us up and we converted to the engineering-only. We anticipate at some point, though, that will come back, they just wanted to pull back on the committed cash.
John Franzreb: Okay, obviously, I was more -- I was actually more interested in the cancelled projects rather than the re-scope, Brett, because that's what I consider relatively rare. Is there any commonality in them?
Brett Cope: Yes. $5 million or so balance on the cancels were more in the oil space, straight refining, brick-and-mortar type jobs.
John Franzreb: Okay. Any sense that that business has bottomed or are you still concerned about the trajectory of that market?
Brett Cope: If you look at the Q3, Q4, it was kind of the same run rate. I think we might see one or two more is bottoming, but I don't know if we've seen the end of that yet.
John Franzreb: Okay. Recently, a comparable company, a competitor company put some assets up for sale. I wonder if you've looked at those assets. Do you think they're attractive? It's not something you're interested in because you did mention, which is something kind of rare, I think you also -- is that you are looking at inorganic growth opportunities. So can you just kind of expand upon that?
Brett Cope: So, I know the question has been asked in previous calls, and what we're doing with cash. And I share very openly that with the Board and the management team, our conversations have been very focused on this subject and how we're going to direct the company and work the strategies right [ph] for the future, but working on that now for the better part of the year. Those conversations continue, as I mentioned before, to become more focused around a couple of key strategies. We are watching the marketplace with our competitors in many senses, and so we're aware of that and evaluating how that might be best for Powell's shareholders in the future.
John Franzreb: So that means you're considering inorganic growth opportunities or not?
Brett Cope: We are. We are starting to try to build the framework and guidelines by which we're going to stay disciplined to add to our strategy here to push the company forward into where we see the market heading for what we're -- for Powell.
John Franzreb: Got it. One last question and I'll get back into queue. We’re nearly done with the first quarter besides the seasonality, which you are reminding us all about, how is it kind of shaping up relative to the fourth quarter on any kind of comparable basis that you can help us with?
Brett Cope: Coming off of Q4, we certainly -- in my prepared remarks, I mentioned the upturn in quoting activity, right. That was a big difference when everybody was trying to figure out what was going on in Q3 as everything was kind of scattered all over the place. We're still seeing some effect of people just not in their offices, the remote workplace continues to have sort of a slowdown effect, whether it's utility traction or core oil and gas petrochem. The activity definitely picked up. The run rate is still sort of running, but from a mix standpoint, the engineering-only awards picked up, and while those aren't large dollars, those are sort of the reservation, so to speak of the future. So, my sense of optimism for if and when those get funded, which of course there's no guarantee they will, we're making some good progress at future business, but from an actual run rate, no rate change heading into the first couple of months of the quarter. Other than the mix is looking, it's more positive sense of just looking forward from a want to fund things; and when it does, I feel good we will be in the right position to put those in the backlog.
John Franzreb: Great. Great. Thanks for taking my questions. I'll hop back in the queue.
Operator: Our next question will come from Jon Braatz with Kansas City Capital. Please go ahead.
Jon Braatz: Good morning guys
Brett Cope: Good morning Jon.
Jon Braatz: Mike a question on the working capital needs maybe as we head into this -- in 2021. Obviously, business is going to be soft, but do you see any need to build working capital? And the second question would be, were your cash balances boosted at all by tax deferrals -- payroll tax deferrals related to the COVID legislation?
Michael Metcalf: Yes, so I'll take the second one first, the answer to that is no, we didn't have any impacts due to the COVID legislation that went through. From a working capital impact looking forward into fiscal 2021 and first I digress to 2020, great year for working capital cash overall for the company, really driven by a couple things. The working capital was benefited by the unwinding of a lot of these projects that had finished up in the second half of 2020 as well as some of the milestone billings for that large project. Looking forward into 2021, we will use some of that cash for working capital for this sizable project that we're executing in 2021 and 2022. So, I would expect cash to come down a little bit as we work our way through mid-2021.
Jon Braatz: Okay. Okay. And looking at the new business opportunity -- new business that you're seeing coming in the door. How does that look on the margin front? Are you seeing any -- in this week environment any renewed -- any margin pressure?
Michael Metcalf: Coming in -- Jon coming into Q1, we are. We didn't see it so much in Q4, I think we were asked a question, but if not, in Q1; we're starting to see some price pressure. And again, it's in those traditional markets where we typically see pressure, which is more utility on the generation side and some of these markets that this distribution isn't as difficult, they're a little bit more open to competition that you will start to see some there.
Jon Braatz: Okay, one last question. And this is probably a long shot, but I was reading the other day about offshore drilling activity and offshore oil production. And there was some comments in there about how maybe with these higher oil prices and new technology, that offshore oil and gas production may begin a little bit more in earnest than we've seen recently. And talking about maybe Gulf of Mexico and Brazil and so on, Brett are you seeing any activity in sort of your legacy business, the oil and gas platform business or production business?
Brett Cope: We do have one job that we took last year, where the offshore market traditional for Powell really changed several years ago. We did see a little bit from a legacy job, legacy customer last year do one of these smaller CapEx expansions and sort of field extensions. I do you watch the FPSO market, Jon, it's not a market we have competed in it, we struggle a little bit to really effectively compete. Well, that market is actually doing a little better for the offshore side right now in those markets you mentioned. So, yes, we're watching it. We are watching even those legacy customers or what how they're thinking about these extensions. And what would they do either top sides or new technologies to extend these fields or take an existing platform rework it? And even though power structure, the new strategy, a lot of new thought and power from short type applications won't work for that due to on-deck distribution design. So, definitely, sticking [ph] our brush with that.
Jon Braatz: Okay. All right. Thank you very much.
Operator: Our next question will come from John Deysher with Pinnacle. Please go ahead.
John Deysher: Good morning, everyone. Thanks for taking my question.
Brett Cope: Hey John.
John Deysher: I was just curious you mentioned margin pressure going into the current quarter. Are you walking away from any business because of price?
Brett Cope: No, not yet. I go back to -- in my prepared comments, John, I talked about the 15/17 parallel. There was a point and that cycle driven by again, as you recall that the drop in the oil price, everything that happened that led to that down cycle where we did reach a limit. We're not there yet. Didn't see really much price pressure in Q4, we just started seeing it kind of at the tail end. Well, beginning of Q1, we started to see a little bit and again in some select markets, not across the board.
John Deysher: Okay, because I would guess some of your competitors don't have the rock solid balance sheet that you do. And I'm just a little concerned that those guys gain market share when you reach the price at which you won't compete.
Brett Cope: No, we're not there yet and we have a lot of checks about the risk profile of the project in terms and the whole scope of the job, what we're building, how we're getting at the site, what are the onsite services, which is an area we're looking to expand upon? And how can we manage the risk with the engineering partner or the end customer to have a more open discussion before the jobs are worried about where Powell can help meet their needs on the job, which we know there's price pressure on first purchase price, but how can we mix around the scope to put Powell in the best light to do what we do best. So, those conversations are substantive and are happening now and we're cognizant of the risk profile by engaging the customer on that conversation. So, we can help them meet their need on the budget side, but yet, do what's best for Powell and not lose the job, while lower margin make sure the risk is managed as well.
John Deysher: All right, okay. Good. That's good to hear. And on the strategic plan that you indicated, you've been working on for the better part of a year, is there a timeline there in terms of wrapping that up and figuring out exactly which direction you want to move?
Brett Cope: Not yet. We're working on with the Board and the management team and we will get to the point of updating our Investor Relations deck, can't quite yet today give a timeframe when that will be published and to give the direction where we aspire to go, but I think we're coalescing around a couple of strategic options and so we're near there and hopefully very soon we'll be able to sort of lay that out in the share with all the shareholders where we see the best future for Powell, we're putting the money to work
John Deysher: Okay, good. And finally from me, has the mix of the backlog shifted at all over the last year or so? I mean is it more non-petrochemical, non-oil and gas as a percentage or is it the same or how has the mix of the backlog shifted?
Michael Metcalf: Yes John, this is Mike. The way I kind of look at the mix over the last year and as we go forward, what we are seeing is lower, clearly lower industrial backlog as we believe the oil and gas petrochem backlog, we are seeing more traction in utility work, however, as we mentioned in the prepared comments. So, we are seeing a little mix shift, both from a product standpoint -- product application standpoint as well as geographically we've got a very strong backlog in our Canadian facility as well as our U.K. facility, but they carry different margins as well. So, it does have a little bit of a mix impact.
John Deysher: And industrial oil and gas, that's still the lion's share of the backlog at this point?
Michael Metcalf: At this point, yes, correct
John Deysher: Okay, good. And you mentioned traction. I'm not familiar with that, what is traction?
Brett Cope: John -- that's so mostly in North America light rail and markets you think about Washington Metro, Bay Area Rapid Transit, Chicago Transit, Toronto Transit. So, we think the published that we do the rectifiers and the DC switchgear or powering a rail.
John Deysher: Okay, great. Thanks and good luck.
Brett Cope: Thanks.
Operator: The next question will come from John Franzreb with Sidoti & Co. Please go ahead.
John Franzreb: Yes, just a little bit on the cost structure. Have you brought back anybody that's been -- everybody that's been furloughed? Are you at the -- do you anticipate the go forward workforce load? And also I guess all the restructuring actions that you announced over the summer, are they completed and are there any more contemplated or are you satisfied with the current configuration of the firm?
Brett Cope: John, its Brett. I'll start and Mike can add some color here. So, nothing more since the May adjustment, nothing significant. Do we bring people back? Some of this engineering-only work, yeah we're going out to it is challenging us a little bit. So, it is sort of a little bit of a turn there in Q1, we're looking at those resources and trying to decide can we get some people back to handle this load, how long does it go. So, we are in that thought process right now. That's really the only function; the rest of the sort is status quo. Looking forward, it's quarter-by-quarter right now until we get better clarity. You sense in the market, there is this one desire with these engineering-only awards for instance that they get funded, it could be very interesting, if they don't, there is this -- when do you -- do you need to do something else, it drags on a different way. So, it is a little quarter to quarter until we get clarity and we're trying to be very thoughtful about the cost structure to not handicap us long-term because as you know the model takes a long time to split up knowledge if we let it out the door. So, we really want to keep our people.
John Franzreb: Okay. Mike, anything to add?
Michael Metcalf: I mean I think what we did in May and June, really benefited the second half of the year and to Brett's point, it's quarter-to-quarter, causing the worst cadence, the commercial activity out there, understanding just looking around the corner and we're doing that every three week. So, staying very close to it.
John Franzreb: Okay and Brett the incoming order book, it may be the lowest I've seen in decades. How does that bounce around in the next coming quarters? Should we expect maybe a sharp recovery or is it just or is this down to visibility for you to tell?
Brett Cope: The visibility is very clouded. As I mentioned earlier John in your question, the pace in Q1 as we started isn't significantly different. The mix is a little different in that we're seeing some awards that aren't the whole job, it's the -- Powell helps get through these early phases and see what's going on in the market, what's going on in the pandemic and the effect on economy, the macro certainly has played here across the world. So, it's a little bit more positive in the sense of, let's get some work going because we think we want to get this job and so they get the full funding on the return through the end user. So, -- but the absolute number isn't significantly different. So, I don't John, I don't know, but if I look forward, there is potential to certainly have a couple of quarters that start to jump up nicely, but right now, quarter-over-quarter, the run rate is still very, very carefully use the word cautious coming in and I don't think there'll be any big change in that in the near term aka next quarter or two, but the potential is there that we could pop up quarter.
John Franzreb: Okay. Thanks for taking my follow ups Brett.
Operator: There being no further questions, this will conclude our question-and-answer session. I would like to turn the conference back over to Brett Cope, CEO for any closing remarks.
Brett Cope: Thank you, Grant. The pandemic is certainly challenging our customers and how we operate each day. However, Powell is uniquely positioned to weather the storm. We have an incredibly talented team, a healthy backlog, a strong balance sheet, and great relationships with our customers and suppliers. We are firing on all cylinders across our operation and we are not standing at length's by while we wait for our industrial markets to recover. We are focused on advancing our efforts in new and encouraging growth avenues that will better diversify our backlog and project mix going forward. With that, thank you for your participation on today's call. We appreciate your continued interest in Powell and look forward to speaking with you all next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.